Operator: Welcome to the Consensus Q1 2025 Earnings Call. My name is Paul, and I will be the operator assisting you today. [Operator Instructions]. On this call from Consensus will be Scott Turicchi, CEO; Jim Malone, CFO; Johnny Hecker, CRO and Executive Vice President of Operations; and Adam Varon, Senior Vice President of Finance. I will now turn the call over to Adam Varon, Senior Vice President of Finance at Consensus.
Adam Varon: Thank you. You may begin. Good afternoon, and welcome to the Consensus investor call to discuss our Q1 2025 financial results other key information and our 2025 full year and Q2 2025 quarterly guidance. Joining me today are Scott Turicchi, CEO; Johnny Hecker, CRO and EVP of Operations; and Jim Malone, CFO. The earnings call will begin with Scott providing opening remarks. Johnny will give an operational update on the progress since our year-end 2024 investor call, and then Jim will provide Q1 2025 financial results, then discuss our full year 2025 and Q2 2025 guidance range. After we finish our prepared remarks, we will conduct a Q&A session. At that time, the operator will instruct you on the procedures for asking a question. Before we begin our prepared remarks, allow me to direct you to our forward-looking statements and risk factors on Slide 2 of our investor presentation. As you know, this call and the webcast will include forward-looking statements. Such statements may involve risks and uncertainties that would cause actual results to differ materially from the anticipated results. Some of those risks and uncertainties include, but are not limited to, the risk factors that we have disclosed in our 10-K SEC filing. Now let me turn the call over to Scott for his opening remarks.
Scott Turicchi: Thank you, Adam. As noted in the press release, I'm pleased with the results of the first quarter. This quarter was primarily without any of the volatility introduced by the tariffs, most of which were announced on April 2. We slightly exceeded our revenue objective with corporate revenue posting 5.6% growth over Q1 2024, ahead of our budget and the best growth year-over-year in 8 quarters on a normalized basis. So revenue was in line with our expectations. We carefully watched our cost structure and exceeded our EBITDA expectations by more than the outperformance on revenue. We delivered a robust 54.2% adjusted EBITDA margin. As we discussed on the Q4 earnings call, our goals for this year include the following: first, to pursue the acquisition of customers, primarily in the health care space for our corporate channel and driving revenue growth to 6.25% this year; two, to manage our cost structure while making modest investments primarily in our go-to-market operations for the benefit of 2026 and beyond; three, putting our bank loan refinancing in place for the retirement of the remaining 6% notes due October 2026. And finally, number four, managing the SoHo channel for cash flow efficiency, which we began last year. While Johnny will provide more detail in his portion of the presentation, I am pleased that our corporate channel exceeded our revenue expectations in Q1, driven by strong usage, improved revenue retention, new customer acquisition and increased contribution from our advanced products. In addition, eFax Protect had record sign-ups. In addition, at the VA, we continue to see more facilities come online and a record level of usage. All of these contributed to the 5.6% growth year-over-year. I am pleased to report that while revenues for the SoHo channel declined in the quarter as anticipated, it was the slowest rate of decline since we began the program to reduce marketing costs. We maintained our discipline on the cost side across the board, generating an EBITDA margin of 54.2%, 100 basis points ahead of our Q1 expectations. Free cash flow for the quarter was $33.7 million, modestly down from Q1 of 2024 due to increased receivables from our growing corporate channel and lower revenues and EBITDA year-over-year. We continue to expect our free cash flow in 2025 to be similar to 2024. We were able to repurchase approximately $10 million of debt in the quarter and an additional $6 million so far in Q2. This brings our total repurchases since launching the program in November of 2023 to $222.6 million, reducing our total outstanding debt to approximately $582 million or 3.1x our trailing 12-month adjusted EBITDA on a gross basis and 2.9x on a net basis. We have made progress on the bank financing and expect it to be finalized in late Q2 or early Q3. Before turning the call over to Johnny, I would like to comment on the recent volatility in the markets and concerns in the economy regarding a slowdown in economic activity. First, the nature of our business is such that we are not directly impacted by the tariffs and related negotiations. Second, we provide an essential service of critical and secure information delivery across a variety of industries. As part of our normal quarterly process, we did look at a potential slowdown in the economy in the back half of the year with a reduced annual GDP output that is modestly positive, but less than the GDP growth expected upon entering this year. Under such a scenario, we would expect a modest headwind to our revenues in Q3 and Q4, but still be within our range of guidance. To be clear, this is a stress test against our annual plans and budget, not our base case. We are not currently seeing any impact from the tariffs and related negotiations. We will closely monitor the situation as events develop. I will turn the call over to Johnny to provide more operating details.
Johnny Hecker: Thank you, Scott, and hello, everyone. Thank you for joining us today to discuss our Q1 2025 results. As always, I will be focusing on key areas such as revenue, customer count and go-to-market strategies for both our corporate and SoHo business channels. I will also provide an update on our operations and share some insights and highlights. I'm happy to report that our corporate business continues to demonstrate positive momentum. In Q1 2025, we saw revenue reach a record high of $54.3 million, representing a solid 5.6% increase compared to the $51.4 million in Q1 of 2024. It is important to remember that business days significantly impact our corporate business. Q1 2024 had an additional business day because of the leap year, which makes this quarter's growth rate the best since Q1 of 2023 on a normalized basis, even more impressive and supports our confidence in achieving double-digit growth for this business channel. The exceptional Q1 growth rate stems from several factors: sustained increase in Cloud Fax consumption within health care, greater advanced product adoption among existing and new clients and the onboarding of new customers. We attribute this positive trajectory in our corporate revenue channel as a direct result of our focus on maximizing customer satisfaction through innovative product expansion that delivers tangible value. This approach is not only driving strong retention but also fostering enduring customer loyalty. I am excited to report an increase in our revenue retention rate by 55 basis points since just last quarter to now 101% for the last trailing 12 months, well in line with our target of at least 100% and significantly higher than the 97.9% in Q1 of last year. Our corporate customer base has grown to a record approximately 60,000 at the close of Q1, up 9% year-over-year. A key driver of the success was the strong adoption of eFax Protect and the continued effectiveness of our SoHo to corporate upsell program, which together contributed over 3,700 new corporate accounts during the quarter within our lower SMB cohort alone. This robust growth underscores the ability to effectively penetrate the market and strengthens our confidence in future expansion across the corporate customer base. We observed a positive sequential trend in corporate ARPA, increasing by almost $3 to $307 from the previous quarter. However, our current corporate ARPA of $307 represents a $10 decrease year-over-year from Q1 of 2024. This reflects the inherent dynamics of our corporate customer portfolio where the ARPA is both supported by large enterprise clients such as the Department of Veterans Affairs and moderated by the success and growth within our lower SMB cohort. Speaking of the VA, we are pleased to report that the rollout continues with significant momentum and urgency. While we navigated the recent disruptions and uncertainties within the government and contractor ecosystem, our commitment to delivering this highly efficient offering remains steadfast. Usage within the VA is steadily increasing and new deployments are proceeding as planned, reinforcing our confidence in the program's success. Furthermore, our recent FedRAMP high authorization has, given the circumstances, generated substantial interest and engagement from other government agencies, revitalizing our public sector pipeline. While we anticipate the tangible impact of these developments will materialize beyond 2025, the public sector remains a core pillar of our product and go-to-market strategy. Before moving on to SoHo, I'd like to provide some key insights into our revenue composition and the central role of cloud fax. It's crucial to highlight that cloud fax remains the cornerstone of our revenue, consistently contributing over 90% to our corporate revenue and exceeding 95% of our total revenue. Its ongoing growth underscores its enduring importance to our business. Therefore, our core fax business will continue to be a priority. Complementing this strength, we're delighted to see increasing adoption and broader usage of our advanced solutions like Unite and Clarity featuring AI technology for data extraction. Furthermore, we leverage and continue to see success with our integration solutions, which we've further enhanced since the 2022 Summit acquisition. The growing customer engagement with these offerings alongside eFax reinforces the validity of our go-to-market and product strategy, particularly within the important health care vertical. We are very happy with the strong momentum we've carried into 2025. This positive start driven by our successful strategies provides the tailwind needed to achieve our ambitious goals in our corporate business for the fiscal year and beyond. On to our SoHo channel. We recorded Q1 revenue of $32.8 million compared to $36.8 million in the first quarter of the previous year, representing a planned decrease of 10.6%. This reflects our ongoing strategic focus on optimizing profitability and maximizing the efficiency of our advertising investments in this business. As anticipated, the total global SoHo account base experienced a slight reduction from 747,000 to 730,000 during the quarter. While SoHo ARPA saw a minor decrease to $14.83 in Q1 of 2025 from $14.99 in Q4 of 2024, we're encouraged by the continued improvement in our SoHo cancel rate, which declined to 3.26% in Q1 of 2025 from 3.38% in the prior quarter. Our analysis reveals that the slight ARPA adjustment this quarter is primarily attributable to the residual effects of the 2024 holiday promotions last November and December. Importantly, our strategic transition away from free trials across multiple brands is proving effective in enhancing the monetization of newly acquired customers and increasing paid acquisitions, a positive impact that is partially balanced by customer churn. Our focus on automating and optimizing customer acquisition programs continues to yield success with a very close eye on return on advertising spend at a healthy lifetime value to customer acquisition cost, commonly referred to as LTV to CAC ratio. Key to this success is our close collaboration with advertising partners and our focus on optimizing search results within the ever-changing search environment. In closing, despite the prevailing macroeconomic landscape, our confidence remains strong. Our corporate business is delivering as anticipated, supported by a robust pipeline and increasing customer engagement with our solutions. For our SoHo channel, our strategic direction is yielding positive results. While we maintain vigilance regarding macroeconomic factors, we are reaffirming our guidance. Before handing off, a big thank you to our employees for their dedication this past quarter and to our customers and partners for their continued trust and collaboration. We've had a great start into the year, and we anticipate to continue that way. With that, I'd like to turn the call over to our CFO, Jim Malone, who will now provide a detailed update on our financial performance and outlook. Jim?
James Malone: Thank you, Johnny, and good afternoon, everyone. In our press release and on this call today, we are discussing Q1 2025 results and guidance for Q2 2025 and full year. We expect to file our 10-Q by close of business today. Let's start with our corporate business results. Q1 2025 was a record quarter for corporate with revenue of $54.3 million, an increase of $2.9 million or 5.6% versus prior year, performing ahead of expectations. This represents the highest corporate growth year-over-year in the past eight quarters on a normalized basis. As Johnny noted, we continue to see growing fax usage, which demonstrates strong demand for our core digital fax product. Q1 2025 corporate ARPA of $307 was up sequentially by approximately $3 and down $10 over the prior comparable period primarily driven by the success of our growing eFax Protect base within the lower SMB cohort. Our record Q1 2025 corporate revenue delivered a trailing 12-month retention rate of 101%, a 310 and 55 basis points improvement from the prior comparable period and Q4 2024. Moving to SoHo. Q1 2025 revenue of $32.8 million compared to $36.8 million over the prior year represents a planned decrease of $3.9 million or 10.6%. We are continuing our strategic focus of optimizing advertising spend and profitability in the SoHo revenue channel. ARPA of $14.83 had a modest sequential decline, largely attributable to our holiday promotions in November and December of 2024. SoHo churn of 3.26% improved 12 basis points sequentially and 16 basis points year-over-year. Moving to consolidated results. Revenue of $87.1 million represents a decrease of $1 million or 1.1% versus Q1 2024, performing in line with expectations and an improvement of 3.6% in Q1 '24 versus '23. Adjusted EBITDA of $47.3 million is a decrease of $0.8 million or 1.7% versus Q1 2024, delivering a solid margin of 54.2% and 100 basis points favorable to our Q1 2025 guidance range. As mentioned in our 2024 year-end earnings call, adjusted net income calculation will eliminate foreign exchange gain and loss on intercompany balances, both in current and prior comparable periods. This line item can fluctuate significantly from period to period, and the metric does not represent the company's operating performance. Therefore, beginning this quarter and going forward, adjusted net income will not include this foreign gain and loss. Q1 2025 adjusted net income of $27 million is an increase of $0.1 million or 0.2% versus Q1 2024 adjusted net income of $26.9 million, primarily driven by lower net interest expense, offset by adjusted EBITDA flow-through, depreciation and amortization and taxes. Adjusted EPS of $1.37 is unfavorable to the prior year by 2.1% or $0.03, driven by the items I just mentioned and a higher share count. The Q1 2025 non-GAAP tax rate and share count was approximately 21.2% and 19.7 million shares. As mentioned in our November 2023 earnings call, we announced a $300 million 3-year bond repurchase program. In Q1 2025, we repurchased $10 million face value bonds at par and an additional $6 million in Q2 2025 to date. Our continued strong cash flow has allowed us to repurchase approximately $223 million face value bonds for approximately $209 million cash program to date with approximately $77 million remaining under our current authorized program. We expect our free cash flow to be similar to 2024, providing us with sufficient cash to meet our leverage target on and before the maturity of our 6% notes. Scott noted in his opening remarks, we are working on the refinance process for a bank loan to retire our remaining 6% notes to October 2026. We expect the bank loan to be completed in late Q2 or early Q3. With the debt repurchases just mentioned, Q1 2025 total debt to adjusted EBITDA is 3.1x. Net debt to adjusted EBITDA ratio is 2.9x, and we are getting very close to achieving our total debt to adjusted EBITDA target of 3x. We ended Q1 2025 with cash of approximately $53 million, which is sufficient to fund our operations and repurchases of our debt and equity. Q1 2025 free cash flow is $33.7 million versus $35.8 million in the prior comparable period, primarily due to the increased receivables from our growing corporate channel and lower adjusted EBITDA. CapEx of $7.1 million was down $1.8 million or approximately 19% versus the prior year. Going to guidance, we are reaffirming our 2025 full year guidance as follows: Full year revenue between $343 million and $357 million with $350 million at midpoint; adjusted EBITDA between $179 million and $190 million with $185 million at midpoint, adjusted EPS of $5.03 to $5.42 with $5.22 at midpoint. Full year estimated share count and income tax rates are approximately 20 million shares and tax rate between 20.5% and 22.5% with 21.5% at midpoint. Please remember that as previously mentioned, our 2025 guidance and actual results exclude foreign exchange gain or loss on revaluation of intercompany accounts. For our second quarter, we are providing guidance as follows: revenue between $85 million and $89 million with $87 million at the midpoint. Adjusted EBITDA between $45 million and $48 million with $46.5 million at the midpoint. Adjusted EPS of $1.31 to $1.42 with midpoint of $1.37. Estimated Q2 2025 share count and income tax rate are approximately 20 million shares and a tax rate between 20.5% to 22.5%. This concludes my formal remarks. I'd like to turn the call back to the operator for Q&A. Thank you.
Operator: [Operator Instructions] And the first question today is coming from BTIG, and it's David Larson.
David Larsen: Congratulations on the good quarter. Can you talk a little bit more about growth in corporate revenue? The growth rate looked pretty good to me. And I think you mentioned in your prepared comments that the VA deployment is accelerating. I think you finally got like this formal paperwork and formal certification recently. Just any more color around like the government sales process, the VA corporate growth would be great.
Johnny Hecker: Yes, I can take that. This is Johnny. Hi David, thanks for getting on the call. Good questions. So to answer your first one, the corporate growth was really supported by multiple things. First of all, we saw continued strong usage across our fax brands. upmarket as well as downmarket, but significantly growth upmarket in our existing customer base. And then secondly, good adoption and deployment of advanced solutions. So that is starting to contribute there as well. So all in all and adding new customers is the third big component of driving the corporate revenue in this quarter. So all in all, good trends on all three of those fronts. Now with regards to the VA, yes, we got the FedRAMP high certification. That was something that we announced last quarter already. there was an important milestone on that journey, something that we required from us and that we have now accomplished. That is unlocking some new opportunities and also revitalizing a couple of older opportunities that had actually stalled in that public sector pipeline. So customers have paused the process for a while and said we need you guys to finish that process, get that official certification. So that is helping us. Are we going to see a significant impact of this in 2025? I don't think so. Maybe we'll close a couple of deals. But as you know, with the government, it will take a while until those ramp. And there's general reluctance and uncertainty in the government space, right, in the ecosystem as well as within the agencies. So we're experiencing some of that, but we're encouraged by the engagement. We thought it would be significantly worse.
David Larsen: Great. And then in terms of like SoHo, I completely understand how you're converting SoHo accounts to corporate. So the decline in revenue is intentional. But when would you expect that to sort of that decline to sort of moderate or perhaps become like flat on a year-over-year basis? Just how are you thinking about sort of the intentional by design contraction of SoHo, which is still a significant portion of total revenue?
Johnny Hecker: Yes. So that's a difficult question to answer because there are so many things that influence that number. Right now, we saw a little bit of a reduction in the cancel rates. We're encouraged by the new customers that we're adding. So it's a good trend, which is why the revenue decline is actually slowing down in that space. But it's really a function of multiple things, particularly on how much advertising spend we're willing to expense every quarter in order to win new customers. And we are monitoring that profitability very closely. So at the point where we don't experience that to be profitable for us anymore, we will probably slowdown that advertising spend, which will accelerate that decrease in the customer base a little bit more. But at what point, whether it is going to be in '26 or in '27, we will actually find that base or beyond is unclear because as long as it's profitable, it wouldn't make sense for us to stop also spending in that space. I don't know, Scott, if you or Adam, if you want to add anything to that?
Scott Turicchi: No, I think that's well said. I think as you referenced in your prepared remarks, what we watch very closely is the LTV to CAC in terms of the marketing spend. And then on the flip side, if you look at the base, we actually look at each cohort and what is going on in terms of their retention rates, hence, by implication, their cancel rates. And so that's the math that guides us to how much we're willing to invest and then you run the math out and you can come up with some numbers. But it is proceeding according to the plan. It was actually developed more than a year ago, and it's proceeding consistent with our expectations for this year and what we said last quarter in terms of guidance. And I don't think one should expect that there's a magic bullet that will suddenly cause it to stabilize certainly this year, if not probably even next year.
David Larsen: And then just one more quick one on tariffs. I think I heard you say no impact. There're two potential areas of concern on the hospital side, hospitals may face higher supply costs, so that might slow their purchasing of eFax solutions. And then also on your side, any technologies or hardwares? And I think what I heard you say was you're not seeing any impact from tariffs either on the demand side or on your cost side?
Scott Turicchi: Paul, before we go to the next live question, we've received a couple by e-mail. So let me at least take one of them because it leverages the conversation we just had with David regarding revenue growth. The question, I'll summarize it, is more about the company as a whole, but it really does feed off of the 2 pieces we just talked about. And that is returning to total revenue growth for the whole company. So one, when do we expect that to occur? Obviously, if we're going to be flat year-over-year, we do expect that to occur at some point during this year under our base case scenario. I would say that's really a Q4 event. And then the follow-on question to that is, do we expect that to persist? Now feeding off of Johnny's question, the answer would be and of course, there's always an economic caveat here that the economy doesn't do something wildly crazy, that we would expect the rate of decline of SoHo to continue to lessen as we see corporate increasing in its growth. So that should imply once we hit a positive total enterprise growth that, that would continue. But as usual, I'll say it is subject to economic conditions and also subject to what Johnny just mentioned in terms of exactly how much we inject into the SoHo channel in terms of marketing spend. Paul, if there's another live question, ready to take it.
Operator: We have a couple more from the lines. The next one is coming from Gene Mannheimer from Freedom Capital Markets.
Gene Mannheimer: So, related to those questions around growth of the corporate channel, Scott or Johnny, I think you talked about making some hires this year, maybe about 40 people in sales and sales-related functions. Can you talk about where that stands at this point? And I joined the call a little late, so I don't know if you talked about it already.
Scott Turicchi: No, Gene, we didn't really address any detail. You're correct. You'll recall for those that were not part of the Q4 call in February, we talked about as we go through this year, adding additional personnel, not exclusively, but predominantly in the go-to-market area, which is Johnny's area. There was some modest amount of that in Q1, both per the plan. It does accelerate as we go through the year. So, as I mentioned in my opening remarks, although our EBITDA margin was ahead of our own expectations, even the margins hadn't been fully baked in, still would be somewhat higher than if you look at the midpoint of our guidance and the imputed margin. So I'll turn it over to Johnny to talk about some of the areas in which he's looking to hire over the course of this year. And then the one caveat I would make is we're going to be very careful on these hires as we look at economic conditions. Right now, we're not seeing anything, whether it's the tariffs or the downstream effects from them in terms of the economy. But clearly, if we were to see something go materially negative in terms of the economy, that might influence how many of those hires we want to bring in this year versus potentially pushing some of them into next year. Why don't you give Gene a flavor of some of the areas that you're looking at to enhance your department?
Johnny Hecker: Gene. It's a really good question. It's really across the entire customer life cycle, right? So we're strengthening a little bit on the marketing and on the operations side. And then we're very much focused as we're able to capture a lot more down market through our e-commerce program, we are focused on hiring on the upmarket sales side, where we still have to engage with the customer, whether it's through sales representatives or sales engineers in order to win and retain those accounts. And then beyond that, it's about implementation and customer service, especially with the advanced product, there's a little bit more engagement there. So almost like a professional services component to it but it's tiny from a revenue perspective, but to onboard those customers. So those are the areas where we're hiring, primarily upmarket sales as well as customer onboarding and customer success management. And we're on track, let's put it that way. I think we're putting a lot of emphasis on to our leadership teams to really stay on top of this because as we stated in the last call, this is an investment into the future and into 2026 and the growth in that year and beyond.
Gene Mannheimer: And so my follow-up would be just on the SoHo side. I understand the ARPA was down sequentially as a result of the absence of the holiday promotion. But in theory, that ARPA of $14.83 will probably be the low watermark for SoHo this year. Is that the way to think about it?
Scott Turicchi: Hard to say, Gene, because we do, and we are doing right now. We do a variety of promotions and testing. So, what occurred at the end of '24 for holiday promotions that are not ongoing now, but they bleed in because the customer base comes in at basically cheaper ARPAs that will affect 2025. And then there's some things that can go in the other direction. So look, I'll be honest with you. I don't get that focused or attuned on ARPA movements that are generally measured within nickels and dimes because those are things that occur in the ordinary course based on different marketing programs that we're trying, different save programs, meaning when a customer wants to cancel, what is the save opportunity there? What might the pricing be on that? It's a mixture of a whole bunch of different categories. What I would say is that even with those things that we are doing and testing, I think the ARPA is probably within a fairly narrow range. But I can't tell you it's not going to tick a few pennies lower in some subsequent quarter. It may very well do that.
Gene Mannheimer: I'm thinking about is like $15 something in that area.
Scott Turicchi: I would say, look, I think we have fundamentally a $15 ARPA base of customers, but there is a band around it. Remember, too, it's also the function of the mix across the different brands. So you've got some brands like eFax that will have a higher price at full price. You'll have other brands that actually are below the $15 ARPA. So, you've got another variable in there, which is when we look at the, call it, rounded 60,000 gross adds that come in, in a quarter, what's the distribution across the different brands. And that will in large part be driven by what we're doing marketing-wise. There's a lot of different pieces that go into it. But yes, I think you can say that within a range around $15, you've got a relatively stable ARPA. But yes, it will move within that range. And by the way, depending on the cancel rate. We do certain things that might negatively or positively on the margin influence the cancel rate. And so can it move 10 bps either side of some mean? Yes. Paul, before we go to another live question, I've got another e-mail question. There's actually 2 of them, but they're related. I'll put them under capital allocation is probably the best way to address them. And one has to do with you may notice in our press release, and you'll certainly see it also in the financials in the Q that's filed this evening that we made a $5 million investment, not in our own company, in another company. And so the question is, what is that in the strategic value. Some of you may remember that in I believe it was early '23, we made an investment in one of our vendor partners in the advanced products or advanced services space. This is a follow-on investment in the same company. I'm not at liberty to disclose the name or really much more about them right now as they are in the process of going out and raising capital. But I am certainly hopeful that when we have our Q2 call in August, we'll be able to discuss this in much more robust detail. But to be clear, they're a third-party vendor of ours that we partner with in the advanced product area of our company, and it is a follow-on investment to what we made previously back in early '23. Now the adjacent question that go hand in hand is, and it's not really the way the question is worded, it's how it came about, but it's not actually the right premise, but why are we building cash? So obviously, we built cash from Q4 to Q1 in part because it's just a strong free cash flow quarter. Q1 and Q3 are. We did buy some debt as both myself and Jim have noted, but it's been increasingly hard to buy the debt in the open market. As we have shrunk down both the 6% and 6.5s, you see that in a year ago period or in earlier periods in '24, we might be able to get $20 million, $25 million in a quarter. We only got $10 million this quarter, although as I noted, we did buy $6 million in Q2 to date. We were a little late on buying the shares. We, quite frankly, would have liked to have allocated some more capital to share repurchases, but we fairly quickly after the earnings call went into a closed window that did not execute. We bought very few shares during the quarter. But there is as you look out between now and the end of the year, there is actually a need we need to build some amount of cash on our balance sheet because we're going out very shortly with our bank financing or refinancing, the goal of which is to take out the 6% notes. And right now, it's looking like that will be a $225 million issuance combination of line of credit and Term Loan A. Those are secured. And our bond indentures, both the 6s and even when they're gone, the 6.5s have an interesting lien test. And the lien test is basically 50% of trailing 12-month EBITDA plus $50 million plus cash on your balance sheet. So in order to fully utilize the line of credit, we need those numbers to add up to at least $225 million. So it is our intention to continue to get back into the market in terms of applying our excess cash and cash flow towards both debt retirement and share repurchases, but we do have to be cognizant that certainly as we get out later in the year, we have certain cash balances to justify the lien amount for the loan that will be put in place, as I mentioned in my opening remarks, either late this quarter or early next quarter. Okay, Paul next questions.
Operator: The next question is coming from Ian Zaffino from Oppenheimer.
Isaac Sellhausen: This is Isaac Sellhausen on for Ian. I just have two on the corporate business as well. In terms of corporate accounts, it's good to see the growth there. And you talked about the growth of eFax and upsells. But could you also discuss if there are any notable adds for larger enterprise accounts? And then secondly, tying into that, anything you could share on general sentiment from larger enterprise prospects in terms of making purchasing decisions?
Johnny Hecker: Yes. This is Johnny. I can comment on that, absolutely. And it's a very good question. Thank you for asking that. Absolutely. Yes, we're adding customers, and I think I alluded to it at least a little bit in my remarks, we're adding customers across the board, right? So we've disclosed the number on the lower end, the number of customers that we're adding through certain programs. That's not all. We're also adding customers through other programs on the lower end. But we're adding new customers across the board all the way to very large enterprises. We have a robust pipeline. We've had a robust pipeline for multiple quarters, and we've been able to turn that pipeline into new customers as well. So it's really corporate success across the entire customer continuum.
Operator: And there were no other questions at this time. I will now hand the call back to Scott Turicchi for closing remarks.
Scott Turicchi: Great. Thank you, Paul. We thank you all for joining us today for our Q1 2025 earnings call. And we will as I mentioned in response to one of the questions, we'll report our Q2 results in within the first week to 10 days of August and obviously have an earnings call associated with that. There may be a couple of conferences that we attend between now and then, so be on the lookout for those announcements. And then clearly, if you have any questions that were not asked during this call, you can feel free to reach the company, and we'll get back to you. Thank you.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time, and have a wonderful day. Thank you for your participation.